Michel Landel: Thank you for being with us this morning. I would like to thank also all those who are following us online and we were wondering with Sian it was necessary for us together only in one place at the same time for these presentations because with the available technology now we could almost stay home and this also from that we encounter in the food services. Thank you for being here. We’re delighted to have you here to present at the fiscal 2014 Sodexo financial results. We will be setting out our strategy, we will be telling you about our growth drivers, we will comment on the results of the past year obviously and we will also tell you about the outlooks for this current fiscal which started two months ago. I think 2014 and 2015 fiscal and we will also tell you about the mid-term outlook for the coming years. If I were to sum up the past year, I would say that the performance is achieved by our teams to whom I extend gratitude to all our staff around the world. Our 400,000 staff around the world who deliver services to 75 million customers every day. Well our quality of life services offer is perfectly adapted to the developments on the markets where we’re present today, they will become more and more globalized, most of our customers want to share the purchasing or procurement of their services and our services rely on three aspects, facilities managements, food services and personal and home assistance services. These services are consistent with each other. They tend toward improving the quality of life and the environmental quality of the communities in which we’re involved. One of the specifics of Sodexo and our competitor advantage is that we are the only company which is able to provide all of these services to the same customers. We’ve been able to do all that thanks to our investment that we have started many years ago to develop our expertise in facilities management especially in the hard FM segment. Also because we have built an international network, you’ve seen this with the benefits in reward services. We concur new countries, last year it was Israel and Sweden. We have invested in innovation and in home and personal services. Consumer services, home assistance for the elderly, and self-service [ph] as well. As you know these investments are mostly intangible, HR systems trainings, with acquired some outfits but I will remind you that over the last 10 years 80% of our growth was organic growth and 20% was acquisition. Our financial performances are solid indeed, we have improved greatly our operating margins. Our operating efficiency program has brought in results, the profitability of the on-site services has improved especially in Europe and in the rest of the world. The benefits and rewards services keeps posting double digit growth and our financial [Technical Difficulty] very solid indeed. If I were to briefly comment on the figures Sian will detail for you, the internal growth is 2.3% which is in-line with what we had announced in last year line in-line which was between 2.2% and 2.5%, the operating results totaled €966 million that is in-line with what we had announced and the operating margin is up 50 basis points particularly down further, the net results reaches €490 million that comes at exchange rate it's plus 20% and current exchange rate it's plus 11%, so you can guess the impact of the currency fluctuations effects, 8.5% of adverse effect we will come back on this but that’s for all of the currencies and that most notably on dollar to the tone of 4%, the Brazilian real is 12 and for the bolivar in the Venezuelan it's 80%. Sian, will come back on this but may I remind you these adverse currency effects impact the consolidation of our statements but do not impact our economic performance in the least because in the countries where this happened we -- our expenditures are in the same currencies. The other good news is that free cash flow is good, it stands at a good level. We increased it by 15%, it's a very positive result in the current context. The cash conversion ratio is 123% which is also very good. So this is such a buoyant context, the Board which met on Monday to demonstrate to the shareholders it's confidence in the future of the group and we will propose during the shareholders meeting of January 19th. At €1.80 per action per share that is 56% payout which is higher than the historical average which is 50%. Our net debt decreased by €100 million over the last year and our debt ratio was brought back to 12% which gives us a very good financial health and provides us with a degree of flexibility, regarding the commercial developments, it was again a very good year with €1.2 billion of new contracts which have already being signed across all of our segments and activities. I will just mention a few typical contracts it will show you the breadth of our expertise in Sodexo and the corporate segment which boasted a very good growth, I would like quote the airbus contract, they entrusted with the management of 1.8 million square meters of area and specifically 700,000 square meters of services space to improve the daily life of the working conditions of their staff. I would like also to mention that Unilever contract which was extended to several Asian countries, GSK contract also for other services so we keep developing nicely on these services. In field of education I would like to mention the very big contract with the Chicago public schools it's a facilities management contract, it will concern 400,000 people and it will give them even better working environments. In health we posted some great successes as well as Mayo Clinic, which is an iconic institution in the U.S. it's one of the prestigious health institutions and they entrusted with a management of a new site and we have also signed the Banco Santander contract in Brazil with the so called culture pass and which will provide access to culture to thousands of its staff. Our performance shows in the figures that’s the financial performance, but it also shows through the manual awards that we receive every year in various areas and which are a source of pride for us, managers of Sodexo but for all of our team. So I would like to mention three of those awards, for the 10th year running, we have been recognized by the Dow Jones Substantially Index as a world leader in sustainable developments in our line of business. I think it's something to be proud of. In France, Ministry of the Right of Women, ranked as number one of listed companies for gender balance in the managing teams. And may I remind you that 30% of the Board members are women, 43% of the Executive Board are women and amongst the Executives the managers within the company is 26%. Another award that we’re very proud of with Unilever that I mentioned earlier on is very important contract for us. They awarded us the prestigious prize, the Partner to Win Award. It's a recognition of the added value that we bring to Unilever through quality-of-life services that we provide to them and across the world. Another essential elements that we like to mention at this point for us, we have talked about it several times in the past, our professions are about men and women. And this is why year-after-year we keep assessing the engagement of our teams, it's an essential index for us. We see a correlation between the engagement level of our staff and our financial performances and since 2007 we have seen a constant improvement plus 11% which results in a figure, 86% of our staff rate Sodexo as a better employer than its competitors. And we have received The Best Employer award recently for our activities in several countries in the world. It's the Aon Hewitt Best Employer Award; we believe that this gives us a competitive edge in our market and in the world today. It's a differentiating element, as you know our calling is to improve the quality of life of our customers, quality of life services is very much our (indiscernible) because it's the value that we bring, it's not an accurate science, it is something that requires daily work, daily improvements, therefore we need to monitor the main trends and the trends are different from one country to another, from one segment to another. We need to do this to be able to react and to provide the best offers to our customers into the event that we wanted to -- the added value that we bring to each of our customers. We credited to that and we have created our own institute, the Quality Of Life Institute, it works with external partners with a view you to identify these drivers of Quality Of Life, the main trends which will affect the performance of our organizations. Also we have signed a partnership with OECD, which as you know is a very committed to these fields. They bring us a macroeconomic vision of quality of life. Finally we have created an online media, which allows all of those who are interested in the subject around the world to share to compare their views, their opinions, again with a view to help us reflect on this most basic elements of our daily work, the daily work of our teams because this really bestows a meaning the work of each and every one of us within the group. Before giving the floor to Sian, I wanted to mention more specifically two growth drivers which have contributed significantly over the last year to our performances as a group. The first one we have mentioned it already its facilities management services development, at the moment if they grow on average three times as fast as food services. As you can see on this slide plus 12% in the UK plus 17% in corporate segments in North America, currently it accounts for 28% of the turnover of the group €5 billion, 1 billion of which is hard FM, hard facilities management. It's not a very telling formula, but it's basically what we call the multi-technical maintenance services that we provide and it's this ability to provide this wide range of maintenance services that helps us move forward. I had explained this several times in the past, it really gives us the possibility to position ourselves in institution of negotiation bilateral negotiation with our customers and not just be a supplier or subcontractor. And those services have an operating margin which is slightly above the operating margins that we find in the food services industry or the FM industry, it's around 12%. If I may take the example of the Bangkok Medical Center in Thailand, Thailand is a country where we are currently developing quite a lot of health related activities. The Bangkok Medical Center is one of the largest hospitals in Thailand, 1500 employees, 39,000 patients on average. They need to reduce their costs first and foremost, and second of all, they need to obtain and keep the GCI International Accreditation to attract international customers and patients, this is our typical way of working. In 2006, we started by providing food services to them so that started building trust with them and it really gave us the position of an observer within the walls of the hospital, we were able to identify very closely the needs of office for this particular customer and this is what happened. We identify a major necessity that is to better control their energy consumption. So that resulted in an audit assignments, which itself resulted in a new contract for energy management's and now we are helping this hospital to renew and keep its accreditation and to reduce its energy consumption and energy expenditures, and this resulted in a 30% decrease in the cost of energy consumption for them. So you can see the result of the investments that we've made. It allowed us to gain access to new markets As I was saying earlier, in Asia, health-related services are developing very strongly. I think last year the growth on that segment was 15%, it's not just in Thailand, it's in the Philippines as well and in Indonesia, Singapore and in China as well, and in India. The second example I would like to mention at this point, it's the benefits and reward services. It's a double-digit growth for the fiscal 2014. The fact that being present on this market is essential for us because we're the only player to provide benefits and rewards and on-site services. The issue volumes is more than €15 billion, the internal growth of the issue volumes is also double digits plus 10% the internal turnover growth is 13% and again we are a world leader in the growth of our operating margin plus 11.8%. If I may take two further examples to illustrate, the fact that the better we know our customers, the better it is for us. Here you can find examples of innovations that we created on the basis of this knowledge. The first one is an innovation that was developed in the UK, it's called Money Boost, it's a system that supports employee savings. It works with an employer matching contribution, it was developed as an online solution and it comes as an answer to the present situation because we've been able to see that in the current world. The savings of the savings schemes that employees have access to is essential for them. The second example I would like take is that (indiscernible) School and University Institute or National Center in Chile. They have asked us to develop an online payment solution for students who will study with a scholarship. This gives them permanent daily access to a balanced and healthy meal every day and it also gives them access to nutrition advice online. This service is delivered to about 200,000 students in Chile. So through these two examples, I wanted to illustrate that on the one hand, our benefits and rewards services is especially important as far as innovations are concerned, digital innovation especially but also in so far as it allows us to extend our offers and then so far its positions us as a company which improves the quality of life of its customers So at this part of the presentation is done. Now we will talk about the quality of life of our shareholders for the I will turn to Siân for our financial performance.
Siân Herbert-Jones: Thank you very much, Michel. Good morning to everybody, it's a great pleasure for me to be able to comment is greater detail, the good financial performance of Sodex and the course of fiscal 2013-2014. The consolidated revenue stands at just over €18 billion and organic growth was 2.3%. This is fully in-line with the guidance which we gave last July when we published on our nine months revenue figures. This total internal growth rate breaks down as follows, 1.8% growth in organic growth for on-site services and benefits and rewards have organic growth of 13%, this is a truly outstanding performance as Michel has just said. The operating income excluding extraordinary items the standard €1.67 billion excluding currency translation effects, that is to say a total growth of 10.7% this excellent performance is also fully in-line with the objectives which we fixed one year ago. These results take into account the excellent improvement that we have had in benefits and rewards and also the significant progress we've made in on-site services, particularly in Continental Europe and in the rest of the world Let me pay tribute to our teams in the company for the excellent level of performance. They have been working very hard to implement the action plans so which have been established in order to improve our operating efficiency. On this basis, our consolidated operating margin therefore stands at 5.7% excluding currency translation effect. So we have therefore being able to improve our margin over the previous fiscal year by 50 base points. At current exchange rates the currency translation effects represent just over €100 million when booking the figures into our operating income and after currency translation it stands at 966 million and our operating margins stands at 5.4%, of course these exchange rate differences come principally from over 12% the Brazilian real over the € and 80% for the Venezuelan Bolivar. However, as you know, we're talking here about translation effects into our consolidated financial statements; indeed don’t forget that our activities are local ones. We are not an exporting company and our operating income and expenditure are expressed in the same currencies. This level of operating income, and it's improvement are calculated before including extraordinary expenses over both of fiscal years. These are linked to the program for improving our operation efficiency and cost reduction. Let we remind you that the aim of this program was to make savings on sites and to reduce the G&A in order to improve our competitivity and our margins. So let's take stock of the final results of this program which was rolled out between September 2012 and February 2014. Over the 18 months of this program all of the action which we undertook led to implementation costs representing €166 million and they were broken down as follows. First of all, €59 million of expenses booked off in the gross margin, €12 million, 2013 to 2014. We’re talking here mainly about costs of voluntarily exiting some contracts so which were no longer sufficiently profitable for us. I will come back to that in just a second, impairment of certain assets and the closing down of some of the production centers in Europe and some laundries in North America. Going back to this question of voluntary exiting some contracts, we did this for a total revenue figure of roughly €450 million, the impact on the revenue for 2012 – 2013 was approximately €75 million for fiscal year 2013 – 2014, it was 110 million and we are expecting an impact for 2014 – 2015 of roughly €116 million, this takes into account effects of timing and the need to send letters of information to related parties. The second part of this program concerned G&A overheads and here we had a total of 107 million of expenses, €50 million 2013 – 2014 and this amount covers roughly 2/3rds of expenses related to reorganization in many countries, jobs were shared and we didn't replace people simply leaving the company. So as you can see given the cost for implementing this program, we've already made more savings for 2012 – 2013, we started to enjoy the first fruits of these actions representing €28 million for 2013 – 2014 supplementary and long term annual savings were achieved with the total accumulated savings of €100 million and for 2014 -2015 given the very clear action plan, which has been followed to the letter, we plan an extra €60 million of savings with a total of €160 million savings every year. So you can see that our program is fully in-line with our expectations should at the end of the day give us a payback of roughly 100%. Let's look now at all of the consolidated income statement, the operating income before extraordinary items as I said stands at 966 million, the expenses which I’ve just talked about stand at 27 million unless published operating profit is only €939 million. The net financial expenses go from €136 million in 2012 – 2013 to €173 million for that same period. The cost of net debt went down by €11 billion over the previous year thanks to the refinancing operations which we carried out at the beginning of the year and thanks to the progressive reduction in the level of financial debt. However, we have to remember that revenues from divesting financial investments linked particularly to shareholdings which we had adhoc entities which were created as part of PPPs in the UK. Now these revenues had a favorable impact on our figures representing €28 million and the cost of discounting pension commitments has actually gone up slightly. Given the tax -- published group share of net profit stands at 490 [Technical Difficulty] lower extraordinary costs for 2013 – 2014 compared with previous year, this figure is up by over 28% and even after exchange rate fluctuations it's gone up by over 10% actually standing at 11.6%. This is a very healthy performance given the current economic situation through the world. This healthy performance in terms of net profit also leads to a very nice improvement in earnings per share standing at €3.23 per share. If we look at the consolidated cash flow now, cash flow stands at €708 million, this figure is down 39 million compared with the previous year. There are three main explanations for this trend, first of all, there has been an increase in the amount of tax paid because of the fact that the income figures are up. Secondly, as our non-cash effect of which is even bigger, this comes from what we call in France the CICE, this is a tax credit for competitivity. Let me just remind you that this measure would order only be transformed into cash in future years as a credit on tax due. And finally we have got variations in currency translations and this impacts particularly the amount of investments. Our operating investment, CapEx in other words stands at 294 million, that’s 1.6% of the revenue figures and finally a variation in working capital requirements has gone back to a very healthy level of €188 million. This is thanks to a significant improvement in customer credit in Latin America and in remote site. So this is very largely due to the initial financial advances we have had received as part of the Rugby World Cup due in 2015. And thus the free cash flow stands at €602 million and is up as Michel, said by roughly 15%. All this cash has allowed first of all to finance acquisitions, buying 100% [ph] of the French company (indiscernible). This has strengthened our personal and home services therefore and secondly it's allowed us to payout dividends net of variation in equity to the tune of €282 million. Moreover we have received our net debt over 2013 – 2014 by €107 million. And so as you can see with such performance Sodexo is demonstrating once again the quality of its financial model of which generate high levels of cash and this is course a considerable advantage in the current situation. Let me make a few comments on the consolidated balance sheet of the group at the end of August, 2014. This has been significantly marked by two operations which we had anticipated well upstream, we had refinancing of the financial data and this intervened over the past 12 months. If you could look at the annexures to this presentation, you will see a summary of these operations. First of all, there is a private investment, USPP this was carried out in March 2014 representing $1.1 billion with payment dates between 5 and 15 years and finally a bond issue in June for an amount of $1.1 billion restructured in two tranches for maturities of 7.5 and 12 years. Now both of these financial operations mean that Sodexo has been able to refinance its financial debt so which we’re maturing in 2014 and January, 2015 to significantly extend the maturity of its financial debt and also to significantly reduce its average annual debt level, if you look at the debt -- all things being equal, then the positive effect of these refinancing operations will come in next fiscal year representing over €40 million compared to 2012 – 2013. As a consequence of this 31st of August 2014 and of course with a bond loan due to be reimbursed by next January, then the gross debt and the cash are temporarily up by roughly €900 million. Our overall cash situation, that is to financial assets and the cash flow stood on a 31st of August 2014 at €2.7 billion including 1.6 billion linked to benefits and rewards. And at the end of August 2014, the net debt of the group stood at €371 million down as I said by €107 million and the net debt rate now only stands at 12%. Bolstered by these figures, by the level of cash being generated and fully confident in the future, the Board will be proposing to the General Assembly of Shareholders next January as Michel has said, a dividend of €1.80 per share, this is an increase of over 11%. Moreover, all registered shares are registered for over four years, we will enjoy four the first time this year, a 10% increase in this dividend up to the limit of 0.5% of capital held invested therefore in the company by each shareholder. This represents a payout ratio of 54% excluding exceptional items. This is clearly above the all-time highs which we had of 50% in the past and a total amount of the dividend paid out is equivalent to roughly 50% of the cash generated by operations. Now let me come back to the details of some of our activities and looking at the geographical sources [ph] as well so that you can better understand what underlies our performance for this past fiscal year. If we look at on-site services, revenue stands at €17.3 billion and organic growth as I said stands at 1.8% as Michel pointed out, the facilities management services represent 28% of consolidated revenue and are continuing to grow at a higher rate than we have in food services which of course confirms the very relevant position choices of the group. Now this growth has been first of all by North America where growth stands at 3.7% secondly by the UK and Ireland were the figures are up 4.7% and in both regions it's our positioning on the market as a service integrator which is driving growth. In Continental Europe, our revenue figures are stable at minus 0.2%, there once again the fact that we have more facilities management contract, means that we have been able to offset the fall in volumes in food services and finally in the rest of the world growth stands at only 0.2% but as we have been explained to you over the past three quarters we have to look very clearly at each customer segment to understand this better. There has been quite a significant fall-off in the remote site segment down 7% because projects have come to an end and basically overall our mining customers have been reducing their projects, their scope of the projects and their operating costs. However we have got very high levels of energy within our commercial teams in Sodexo in the energy sector and I think that in the off-site the remote sites next year we will be going back into growth. If we exclude the remote sites the revenue for the rest of the world is close to 7%. If we look at the growth indicators, customer attention is up significantly standing 93.4%. And this level takes into account or covers Sodex choice of existing some contracts which were no longer profitable and this also includes the end of some projects in remote sites. The figure is particularly high in the UK and Ireland, 97% there and it's also gone up in Continental Europe, Latin America and on remote sites. On site growth levels stand at 2.5% and this figure includes or takes into account a continued fall off in volumes in food services in Europe and the slowdown in economic growth in some of the emerging countries but it also reflects an improved performance coming from some of the teams of Sodex passing on inflation in prices both in Europe and in Latin America and we believe that the impact of inflation represents roughly 2/3rds of this total indicator. Development rates that is to say winning new contracts, 7.1% and this is up compared with the preceding financial year in Continental Europe, China and on remote sites. The total amount of new contracts one over the past fiscal year thus stands at €1.2 billion, if we now look at internal growth, organic growth per customer segment it's up 2.2% in corporate and here there are three trends to look at. First of all we have sustained level of demand from companies in North America and Europe and from emerging markets for multi-service contracts with high levels of technical maintenance integrated into them. We have also got two downward trends; first of all there has been a reduction in volumes of food services in several countries particularly in Europe and as I said we have a reduction in remote sites where the level of activity is down 4.5% excluding remote sites organic growth in corporate for the whole of the group stood at plus 4%. There is also growth in health and seniors and here the growth is 1.1%, this result of moderate growth on-site both in North America and in Europe. And finally in education, the improvement is 1.4% which reflects a slight improvement in the number of consumers. I'm talking about students and pupils in North America. And it also takes into account a very healthy improvement in performance in the rest of the world particularly in Asia. If we move now to analysis of these performances looking at it from the perspective of different geographical regions. Organic growth in North America stands at 3.7% and it's up significantly compared with the previous year's performance which was 0.6%. For corporate the organic growth stands at almost 8.9% and this is a highest figure we have had since 2007, this performance can be explained by Sodexo's offers in facilities management for customers such as Unilever, Citigroup and Boeing and on top of that Sodexo has a one significant number of prestigious contract particularly Bloomberg and Dow Jones. For health and seniors now the improvement was 1.1%, the sell-off of certain of laundry activities of which were not very profitable represents about 1% of this performance level. This improvement is not as high we had initially planned and it's true that in the course of the year we thought that there will be improvement in a major contract, this is a contract with the National Chain of retirement homes managed [ph] care this contractors become more difficult to manage, the customers change their strategy and this is meant that Sodexo has been obliged to sold down its roll out of its services to this customer and in the last quarter Sodexo decided to pull out of sites which we had initially or recently opened. Coming back to our initial scope of activity and this is for services which we had been providing for many years now in the North East of the United States and these activities will represent €100 million on growth. This is for 2014, 2015. However there are successful commercial gains, you’ve got the contract which we signed with Covenant Care Alberta, Canada, USC, Kenneth Norris Junior Cancer Hospital, California and the (indiscernible) Hospital, Wisconsin in the United States. In education now, organic growth in revenue stands at plus 2.8% we have had a good level of growth thanks to higher level of customer retention and an improvement of onsite growth in schools and in universities this is linked to the increase in expenditure from students and the number of meals which are being served. Let's move on to the operating profit, this stands at 358 million excluding currency translation impact it's up by 0.5%. We have done a lot of things to improve productivity, this is part of our operational improvement program. We have improved in standardization of main use and we have become more efficiency and effective in terms of structural costs. However this progress has been partially offset by relatively high startup costs on the contrast particularly the manor care contract and also we have had a temporary increase in provisions for impairment on certain accounts receivable. And these two elements together represent €20 million without this the operating profit for North America would have gone up by 6% and the operating margin thus stands at 5.3% to be compared with 5.5% over the previous year. If we now look at Continental Europe where profitability is significantly up in terms of revenue performance is actually quite uneven from one country to another. Sodexo has continued to expand in Central America and improved its performance in Germany and in Belgium. Food services are continuing to slide in many countries such as Finland, Israel, Spain growth in Russia has slowed down significantly. This was in the H2 of the fiscal year, in corporate internal growth stands at plus 1.1% and this continues to reflect of the successful, integrated service offers which we have and we’ve for example the Carlsberg contract, so this has 35 sites covered in 10 countries with an extensive range of services being offered. We've also got the Johnson & Johnson contract in Germany, for example, and health and seniors organic growth stands at minus 1.2% and this reflects a low growth onsite. This is really the result of patients having shorter stays in hospital and a lower level of customer retention over the past 12 months in Northern Europe. In Education, the revenue figure is 3.6%, this is because of the operating efficiency program and cost reduction operations which led Sodexo to pulling out certain contracts particularly in Southern Europe. The operating profits stands at €231 million, it's up €33 million that is to 18% excluding currency translation effects and the operating margin has gone up significantly standing at 4.1% up compared with 3.5% figure which we had for 2012 – 2013. This performance really does translate the very strict management we have had the structural cost and the positive effect of the different initiatives we undertook as part of the plan to improve operating efficiency. Moreover, and as we saw for the previous years' Sodexo recorded in France the tax credit for competitivity and jobs, this is a CICE representing €38 million. Now if we look briefly at our activities in rest of the world Sodexo continue to take advantage of the fact that it's leader on high potential growth countries and the revenue stands at €3.3 billion. Now it's true that the significant currency translation, variations representing €369 million. However if you exclude that then the sales figure for the fiscal year and the rest of the world is more or less stable at plus 0.2%. As I’ve said previously the remote site services are done by minus 7% about excluding this, the organic growth in the rest of the world stands at plus 6.9% and in certain regions such as India and Southeast Asia. The organic growth stands at double-digit levels. In the corporate sector and on same currency basis, the revenue is done by 1.3% but excluding remote sites, the corporate services, services to industrial companies and services generally are continuing to bring in good performance levels with a growth of 5.6% in emerging countries. In and health and seniors organic growth is up 17.1%, this is thanks to very healthy commercial development particularly in Brazil and in Asia. And in Education, the group is also continuing pace its development in emerging countries. Organic growth is just over 17% and here once again the Sodexo teams have been very successful, Thailand, Brazil and in Chile. The operating income is up 20.5% excluding currency translation effects hitting 140 million, in the course of the fiscal year the group has continued to work on integration of Puras in Brazil, thus of bringing an extra operational synergies and on top of that with very strict management of costs and good on-site productivity across the board, across all the geographical zones, the operating margin stands at 4.2% has to be compared with a 3.4% that we brought in last year. In UK and in Ireland, the revenue figure stands at €1.5 billion with the organic growth of 4.7% as I said. In the corporate the revenue is healthy up 6.3% and this figure can be explained by an increased demand for integrated services and also by the fact that we’re supplying extra services to customers such as GSK, Unilever, AgustaWestland and AstraZeneca. This figure also takes into account the fact that we started a new major service contract in the field of justice. This is the penitentiary center in Northumberland. In health and seniors organic growth is still very healthy, standing at plus 3.8% thanks to more services being offered to two different hospitals and in education. The figure is down very largely due to greater activity [ph] in terms of the contract and over the past few years. Nevertheless, Sodexo has won the prestigious contract with University College London. The operating profits stands at €65 million is down 3% excluding currency translation effects and despite some major onsite productivity efforts by the teams, the operating margin has gone from 4.8% to 4.5%. The Sodexo teams have started to get geared up for the next Rugby World Cup, this is for next year of course and here the group will be providing all the hospitality services. So for this coming year we started to commit the commercial expenses which are related to this contract that’s to remind ourselves of the fact that the revenue figure although this contract will be achieved in that fiscal year 2015, 2016. Moreover, the initial mobilization for the new justice contract did way on the operating margin for just a short period. If we look at rewards and benefits and this is a major part of our integrated services offer, 40% of the customers there are part of the activities which we have throughout the whole group. The issue volume in the rewards and benefits stands at 2013, 2014 at €15.5 billion and the revenue stands at €751 million. Significant currency conversion impacts weigh in here particularly for the Latin American currencies over the euro. However, performances are very healthy for the whole of the fiscal year. In Latin America, the organic growth of the issue volume and revenue figures stands at outstanding levels of over 17% and 20% respectively and this excellent improvement reflects the fact that we’re very dynamic on our markets in Brazil, Chile and Venezuela. Roughly 2/3rds of this growth comes from penetration of the market and from cross-selling and that the remaining 1/3rd is a result of inflation in these countries with an increase in the face value. In Europe and Asia, organic growth of the issue volume and revenues stands respectively at 4.1% and 2.5%. This fully reflects the successful quality of life office which we have put forward, particularly in the UK, Turkey and Central Europe. Internal growth is also boosted by speeded up development in Asia, particularly in India and in China. As for the operating profit for this activity it stands €268 million up roughly 12% excluding currency translation effects and that it represents a 25% of the operating consolidated operating profit of the group. It's very good improvement in the operating profit translates the operation lever effect linked to growth in volumes as well as productivity gains which have been achieved on operating costs. And this is result of course of our very strict management. Let's also note that rewards and benefits and Sodexo stand at a 62% this is digital. This is a part of the long-term trend we've seen over the past 10 years in different country and of course Sodexo continues to adapt two trends in payment methods and Sodexo is indeed continue to invest in this activity to be able to offer better performance to its customers and better anticipate future requirements. For 2013, 2014 the operating margin for benefits under rewards stands at 35.7% on current exchange rate, or 37.9% on constant exchange rate basis compared with 38.5% over the previous year. Let's just remember the significant fall off in currency values in South America we’re talking about Venezuelan Bolivar on the Brazilian real have a negative impact on our margins. As for the Bolivar let me just remind you that Sodexo continues to use the conversion methods which we been using since 2010 and this means that for the whole of the fiscal year we have applied a conversion rate of 51.09 Bolivar to $1 and this rate corresponds to the rate to which we selected for the latest real transactions by Sodexo. This was dating back to June this year. Using this new rate for conversions represented over the past year a depreciation of the Bolivar over the euro of 80% of which it represents of course a significant impact on the revenue figures and the operating profit. However, the impact on the net profit only amounts to €2 million as you can see from annex 9. There we’re having taken you on this around the world tour of Sodexo's activities, I hope I'm being able to enlighten you on our performance in 2013, 2014. Thank you very much indeed for your kind attention. I would like to hand back now to Michel who is going to be talking about the future prospects for the growth. Thank you.
Michel Landel: Thank you, Siân for these details on these clarifications regarding our performances. So I would like to come back briefly on the future prospects for the group before the Q&A session. Regarding our consolidated revenues I will just mention a few elements which impacted our growth. It is true that the environment that we’re currently in has a low inflation, quite a volatile international growth, volatile economy – as Siân mentioned as well. We are signing more and more large contracts which are multinational, multi- service contracts and the ramp up of these contracts is quite long, because there are more of them, for one thing, and since they are larger and also because all of these contracts have to do with and are linked to important changes within our customers organizations. We assist them in change management processes, and when we rollout these services across their organizations in the world it really impacts their staff, so it takes a lot of time you need to negotiate with the local unions, with the local teams. Our customers also ask quite us to realize quite a lot of savings as well. So it affects the everyday life of their staff, so obviously it's going to somewhat slow down the pace of growth. That being said it is good news because those contracts have been signed, they are currently in the process of being developing and still today, customers are -- who have signed a first contract come to us with further questions and requirements and we provide new services to them, and this was definitely be a growth driver in the coming future. Our investments are starting to pay off and that is very good news indeed. The second thing that is cause for happiness for us, this year again we should have double-digit growth in benefits and rewards. Again Brazil, which is a heavy contributor indeed, has seen its economy slowdown but in Brazil in the past we've seen growth as high as 20%. So this time around we will be around 10% or 15%, which is not so bad and Siân also mentioned the remote sites activity, which last year slowed quite dramatically. And we explain why, but at the end of last year we signed quite a lot of new contracts and this should drive growth upwards. So the organic growth is going to improve this year. Regarding the operating profits, we’re forecasting a nice increase, why? Well one thing the operational efficiency improvement program has brought in results. Siân has given you the details of that. All the teams in the various countries are concentrated on the objectives that clearly stated objectives and they have committed themselves to improving the competitiveness of their operations, and so this should result in an increase of the net profit in-line with what we've announced. So for this current fiscal which started two months ago, our objectives are 3% growth and operating profit growth of about 10%. So the operating margin for 2014 and 2015 should reach 5.7%, that is an increase by 0.8% of our operating margin. So fully in-line with the forecasts that we made one year ago. On this slide as you can see, this is a confirmation of the roadmap that we presented last year. These are the figures for last year. The objectives was to reach 6% percent operating margin at the rate of 2012, 2013 and on the right-hand side of the screen you can see that mechanically than 6% becomes 5.7% because of the currency translation effects and only because of that, hard to insist on this. As regard of the prospects, the post 2015 future, we’re constantly working on that. In last January I had announced an extension of the Executive Board of the Group, we’re currently considering becoming organized not geographically but per segment. Indeed, the globalization of all of our markets gives us the opportunity, gives us the chance of better organizing ourselves to cater to the needs of our customers and we need to -- we want to build on the sheer size of our group. We want to build on all of our resources to better answer the needs of the consumers and of our customers, we will do so by continuing to invest in major projects for the future, and when we talk about investment it's mostly intangible investment in HR, we will be making some acquisitions, yes, but fundamentally we’re talking about intangible investments. In the midterm, the next 3 to 5 years we forecast a turnover growth of 4% to 7% in annual average growth rate. We are also forecasting a growth in operating profit between 8% and 10% per year and a cash conversion rates of about 10%, so a very clear objective of margin improvements for the future. To conclude I would like to remind you the major assets of our group. First of all the independence of our group, the fact that our biggest customer only contributes to the tune of 2% of our revenues and our biggest suppliers represents 2% of our supplies and given our cash generating financial model, all of this gives us quite a lot of ease and quite a lot of solidity. This allows us in turn to develop long-term strategies to expand our staff and to focus on the satisfaction of our consumers, which is definitely an asset in the current context. Our second asset is the market potential. We believe that the potential of the market is 50 times the current turnover of the group. Our integrated offer is unique because we’ve the three consistent activities which cater to the same needs of our customers, namely to improve the quality of life of the people that we deliver services to. We enjoy a global network, a very powerful global network. We are in the countries which in all make up 90% of overall GDP, and we keep developing in these countries. We’re also very present in emerging countries and that is a money in the bank for the future. We are very present in Southeast Asia, in Africa, a continent that is called -- that will develop soon and our teams are focused on a project and have strong values, and this gives us a very solid corporate culture and in a business such as ours, and based on the men and women of the service of our men and women. Thank you for attention. And if you have any questions we will be happy to answer them.
Guillaume Rascoussier – Exane BNP Paribas: Guillaume Rascoussier from Exane. I’ve three questions. First of all regarding commercial development, sales development, I think you mentioned an improvement in Europe and in Latin America. What about North America, is there a slowing down in a call for tender pipeline if I may so regarding the health services, regarding manor care. You mentioned that increasing cost for the past H2 or should we expect further slowing down of the margins or should we expect an increase on the margins of following the cost-cutting to the tune of €100 million. Third question, regarding the financial margin, what should we expect for next year or this year because with the Bolivar problems in Bolivar, the refinancing move, what should we expect?
Michel Landel: Regarding the sales development and you mentioned the health business in the U.S. The U.S. we have a good healthy pipeline of projects you seen our current projects and the level of activity of the companies there. In the education related services also, indeed in health we have failure with manor care, but just to explain we signed the contract in 2012. It started off well, although the volume of the contract was lower than expected, but most of our customer changed its strategy. It basically adapted to Obama Care, well it's quite complicated but basically it started off with a population of what we call residents, basically elderly customers and then they moved from that to a different type of patient's short term patients -- short stay patients, basically, which required us to commit more staff to this contract. So it was a loss making contract after that we’re trying to renegotiate the contract but they refused. So they actually insourced the contract and we are refocusing back on another part of the contract to the tune of $13 million which provided good profitability and was focused on the eastern part of the country, Pennsylvania, for instance. So it was not a question of how we rolled other contractors, really a question of prices that we were not able to change because the contract was written in stone. So it's not structural. It's not due to our development model in the health sector in the U.S. where we've had -- we have signed great contracts, and we still have great projects as Siân, said so it affected the U.S. results to the tune of €20 million but it's not a source of concern for us. I think I’ve answered your two questions.
Guillaume Rascoussier – Exane BNP Paribas: Yes and my third question regarding -- should we expect further costs this year. No, no further costs, the financial expenses, yes regarding the financial expenses. As I said earlier on, bit by bit we are going to gradually remain to benefit from debt reduction and we’re going to benefit from our refinancing move as well, but with the new -- we will have the full effect of the new interest rates in the full-year 2015, 2016, for next year it will be €40 million of savings only with a lower, thanks to the lower interest rate. So for this fiscal this should mean a decrease by €20 million of our financial expenses. So I'm sorry I cannot predict the future for Venezuela and how the currency crisis will unfold there.
Unidentified Analyst: I’ve three questions. First of all, regarding your payout which is 56% now, is it going to be the standard payout, as structural payout for you? And in a broader sense, how can we anticipate that the re-leveraging of your balance sheet in the mid-term. My second question is that the working capital requirement drove most of the cash generation, so what should we expect for 2015 and my last question, your mid-term guidance you said 4% to 6% so excluding currency translation effects, will it include mergers and acquisitions?
Michel Landel: Yes, it includes acquisitions. Regarding the cash generation, I think as we have said our priority is organic growth as the last 10 years illustrates because our organic growth was 80% of our growth, 20% was gained through acquisitions and may I remind you that those acquisitions, the pace of those acquisitions varied from one year to the next. Three years ago I think we invested about €700 million seven in acquisitions. We acquire mostly -- well every year and these acquisitions will be made in the benefits and rewards activity, it will be part country to gain market shares, to buy competitor here and there, to acquire new expertise in those services. So midsize acquisitions in the on-site services activity, we’re contemplating a large transforming acquisition. I think it is also in the best interest of our shareholders that we do not do this but to further build our forces and our strategy to further guarantee our capacity to deliver our services everywhere, we will be acquiring targeted outfits mostly to acquire expertise in facilities management. Again midsize or small size acquisitions, the likes we've made recently and in the personal and in home services, we will be making acquisitions as well. We started in that segment in 2007, consumer services, nurseries, and in-home assistance for the elderly. The potential in these areas potential -- the potential is great. It's very complimentary to our benefits and rewards offers as well. It really ties in with our overall strategy. So we've acquired some companies in the U.S. They have a different financial model because in the U.S. it's a franchise based system. So it's a bit different from us, but we keep developing also in Europe we have been making decisions but we’re not talking about huge scale acquisitions, midsize. So we will keep with his strategy. The fact that we have a lot of cash, the fact that we have the capacity to react to a very volatile market, I think it's strong asset -- it allows us to invest in our own businesses. Again we do quite a lot of intangible investments, obviously they increase the expenses of our company but globally they are considered and they are investments. When we develop new regions, new services when we spend to innovate to the benefits and rewards area. These are intangible investment. So, we will remain very much focused on this strategy. Now regarding the payouts, as Siân said, our strategy has always been to have a correlation between the payouts and the net results of the group. This is what we've always done. This is what we’re doing this year again, so 56% payout compared to the high watermark, which is to be 50%. We will see in the future how this goes, but we will still pursue the strategy and as Siân said it represents 50% of the free cash flow of the group that was generated. Regarding the working capital requirements, as you know with growth in our activities, we generate cash for 2015 as you may know every four years. Well we have recurring elements, but almost that recur every four years, we will the Rugby World Cup right after the closing of the 2015 fiscal. So at the end of the 2015 fiscal we will have to commit some spending's for the preparation of the world cup. So it will weigh in on the cash flow generation for that year, for next year. So it should be slightly lower at a constant exchange rate obviously, slightly lower than the cash generation of this fiscal because of the Rugby World Cup.
Unidentified Analyst: I have two questions, first of all on Europe, during the previous presentations you gave us indications on drop by 4% to 5% in the food services volume. Is this a continuing trend or is it stabilizing? Second of all, currency related question. These levels seem to be quite favorable for you at the moment, so if this were to continue what would be the consequences for next year?
Michel Landel: Well for the food services volumes, yes, the volumes remain stable, it's minus 4% in the corporate segment in France. And in Europe, it's minus 3% minus 5% depending on the countries, so yes it's still the same downward trend. Regarding currencies, it's true that the euro gained value against the dollar. Obviously so it has an impact on our consolidated statements. We always give our forecasts at a constant exchange rates and we give you our forecasting exchange rate so that you can draw your own conclusions risk wise. Other questions in the room or else we have received questions through the web. First question?
Operator: Shouldn’t the mid-term cash conversion target be above a 100% given the working capital benefit from benefits and rewards?
Michel Landel: As we have said our cash conversion rate was 123% this year, on average, it's 100% rates as I’ve explained earlier on, we’ve the Rugby World Cup etcetera. So we think that 100% is a reasonable rate but it is true that as I’ve said earlier on with the strong activity in certain segment at the moment. We have a positive working capital requirement figure, so we're quite comfortable with this figure. Another question in enough time?
Operator: This is Linna [ph] at HSBC who has asked that question, she has also asked another question. Can you help me reconcile the 1.8% OSS organic growth, business development equals 7.1% less lost contracts of 6.6% equals north 0.5% then add the 2.1% comparable unit growth should equal 3%.
Siân Herbert-Jones: Well the explanation Linna [ph] is very simple. I would say that unfortunately the contracts are not exactly the beginning and the end, are not exactly -- do not exactly correspond to the closing of our statements and so the beginning and the end of a contract does not fall exactly if you will, on the closing date. So we have to apply a mathematical formula for these indicators. Also when we talk about new contracts, we always talk about pro forma contracts, but a contract never reaches full of potential if you will during the first year. There is a ramp up that at least in the second year. Another question?
Operator:
Unidentified Analyst: Looking at the medium term guidance there is little operational gearing impact between revenue growth and operating profit growth. Does this imply that the group sees less scope for margin step up from 2015, 2016 onwards?
Michel Landel: No I think we’ve given a range and it's an average, so it's a bit more difficult to calculate, but when we take a look at the recent evolution. For instance, the turnover growth over the 8 to 9 years, the growth was on average 5.8%, revenue growth. So if we calculate on the same basis in the future. We believe that our growth will be between four 4% and 7%, there will be years at 4%, there will be years at 7%, there can be a year at 3% and another 8% obviously, but on average this is our figure. Regarding the operating margin, I think saying that our operating margin will increase over the next 3 to 5 years between 8% to 10% what does it mean? Well it entails that at the very worst -- in a worst-case scenario, we will have growth between 0.15% or 0.12% per year. So over the next five years it's quite an interesting growth. So there will be years better than others but our margins will definitely grow, this is our forecast. This is what we have been saying over the last two years. Specific attention has been paid to this. Our teams are focused on very rigorous action plans, and we’re keen on improving the growth of our operating results.
Unidentified Analyst: [Technical Difficulty] margin in 2014, but it's still 110 basis points below North America. Is there scope to catch up?
Siân Herbert-Jones: Well yes of course, there is indeed scope for catching that up. We have said this quite clearly. The margins in Europe are not at the levels we would like to see it. We want to achieve a figure which is the general average of the group. We have said this, this is our target and we will indeed achieve it. There is no reason why we shouldn't indeed and this year, we will be improving our margins in Europe, particularly in central Europe. This is included in the forecast which we give you, and we have a target for improving our margins in each country across all the sectors which we’re involved in questions. Maybe there are other questions from the room. One question over there.
Unidentified Analyst: I’ve three follow-up questions here, I’ve got three extra questions. First of all the exiting of non-profitable contracts, unless I'm wrong, you are now expecting $450 million on that, can you confirm this figure what you’re giving for 2015, 170 million in fact on the top line, this just is an organic growth. Is that the right figure? Second point, the top line for the rest of the world, excluding remote sizing plus seven for 2014, can we expect similar trends for 2015? I'm talking about the corporate sector here and do you think that there will be any changes particularly in Brazil since we’ve Dilma Rousseff reelected. And third question, the UK there has been reduction in margins this year particularly linked to the preparation for the world cup, are you expecting new costs to kick in at 2015 with once again impact on the margins.
Michel Landel: Okay, exiting contracts, 450 million this includes manor care and this is why the figure has gone up and the impact is 160 for 2015 and not 170, 160. On your second question for the rest of the world, excluding remote sites, yes we were at 7% last year as you said. Once again remote sites, we will be kicking back up. We have signed a certain number of contracts and I don't think we’re going to be far off these figures. This year for Brazil, this year, GDP growth in Brazil is practically zero, there is low growth forecast for next year we’re talking about maybe 1% – 1.5% there. And I think that the fact that the elections are over, will allow the Brazilian government to launch itself into a more far-reaching reforms which hopefully will stabilize the country and drag it out of the lethargy which it had been suffering from and things will change. We're not worried about Brazil. I have to tell you this. There is tremendous potential in Brazil, we’re continuing to enjoy good growth, our business rewards and benefits, on-site activities, absolutely fantastic potential there, and if you look at the integration of the services there is a real potential. Brazil has big, big companies, they have big international companies in the country and I think investor confidence in Brazil will come back and really we’re not worried about the future for Brazil. As for this current year this will continue to be a transitional year. Your final question concerns the UK, well we’re expecting an improvement in margins next year. It's true, that there will be more costs, pickups we’re gearing up for the Rugby World Cup there but as for the World Cup in New Zealand four years ago, three years ago, some of the revenue figures will kick in 2015 because there is a small part of the ticketing service which will come in but it's not going to weight on the margin in 2015 as we have seen for 2014.
Unidentified Analyst: I’ve got a question about your tax rate, you’re expecting to pay more tax this year? Can you explain why? Secondly, next year are you expecting similar tax rates as for this year?
Siân Herbert-Jones: Well it's true that every year we usually give you guidance about tax rates so going up in countries including France and we usually talk about 36% to 37% tax rate. Now there has been considerable number of tax changes in France and we don't know all the ins and outs of fact. Yet things are changing, constantly changing and I would tend to say that tax rates will be between 36% and 37%.
Unidentified Analyst: Organic revenue growth, can you split this between financial and operating revenue growth and margins have declined in fiscal 2014 due to investment. How should we think about margins or flow-throughs going forward?
Michel Landel: I think we have actually answered the first question several times over. We don’t breakdown the benefits and rewards figures because it's a whole -- revenue is some of the commissions which we receive so we don’t think it's reasonable to give you the detailed breakdown of this and we don’t. On the margins, well true enough to be show but what we do say is what the growth figure has been and growth rates in our financial revenues has been roughly equivalent to the growth in sales and revenues in another words. On the margins, well true enough to be sure but what we do say is what the growth figure has been and growth rates in our financial revenues has been roughly equivalent to the growth in sales and revenues in other words. On the margins which are going down this year, let me just remind you that we've got the highest margin in the whole of our sector activity compared with our competitors. Why? Basically we invest in new countries, we invest in innovation and are our target, our objective over the next five years is to have found a margin increase of roughly 250 base points, so I would just say on average 50 basis points per year for this activity. Any other questions? Perhaps a few questions over the telephone. If we have any?
Operator: (Indiscernible) from Societe Generale. Your line is open madam.
Unidentified Analyst: I’ve three questions, the first one relates to the guidance for revenue figures, now including the Rugby World Cup and exiting of contracts, this is included but can you give a precise impact of the Rugby World Cup? Second question, a return to growth on remote sites, next year, not this year, next year, what kind of contract are you talking about and which regions when you talk about growth of what kind of gross levels are you expecting in order to get back to the growth levels you had in the past? And third question concerns the major contracts, major integrated contract which are quite long to setup and rollouts, what kind of visibility do you have for these? How many months does it take you to start your roll out of these contracts and how does that compare with what you had in the pond?
Siân Herbert-Jones: Yes, as I said just now, the impact for exiting questions, €266 million and €160 million, the impact of the Rugby World Cup is really very minor. Second question concerns the level of growth of the remote site activities. The new contracts which we have signed and which we have signed all over the world. In fact, it's true that over the past two years for mining activities we’ve seen a falloff in volume, what happened there is that it's not that the mines have closed but they have reduced their levels of mining activity, which has impacted us, particularly in Australia and last year we did find sign up with new mines, new contracts with oil companies as well. But either we’re talking about the oil sector or the mining sector and more really on construction sites and these are the three big sectors and activity of which we are active in for the remote sites and we’re expecting growth to be mid-single digits. As for the big contracts, these are big contracts, big in terms of size, we’re getting more of them. With these customers to help them manage change, which is very complicated. We’re continuing to be a very much on that market, we have signed contracts, we’re expanding our activities there. There are some contracts we can't talk about because customers don't want us to talk about them, but we have signed new contract. This was last year, we’re not telling who it was or who they were in the plural, but this is part of the underlying activity. The good news with these big contracts is that when you're on them when you working on them and you’re providing good service to the customer, then there is room for expansion on these contracts we have just signed up a supplementary contract with Unilever for a large number of the branches they have in Asia and in Europe as well, Central Europe in particular so that's important, GSK is the same thing, AstraZeneca, once again. So we're ramping up and we’ve signed other contract. So we did add the cost per contract. There is Alcatel-Lucent, which is a big, big contract for us. And so we continue to expand on these contracts, so which once again are really growth drivers for us.
Unidentified Analyst: I had a question about your operating efficiency plan. You talked about jobs being shared and people not being replaced when they leave their jobs. So you’ve got figures here? Can you talk about how many jobs are being lost?
Siân Herbert-Jones: About 2000 jobs overall, in the whole of the group. We’ve done away with these posts and we haven't replaced people on them, so that represents 100 million cost.
Jaafar Mestari – JPMorgan: Can I come back to your medium-term objectives of 8% to 10% growth in the operating income and 4% to 7% in revenue, can you tell what the drivers are going to be in order to continue to have operating of figures which will be a above of what you have had so far plus with the termination of operational efficiency programs. So operating revenue, organic growth, 60 million of profit of which you’re hoping to pull it from the operating plan. So I get to this figure of 10%. Actually it looks as if there is no improvement in the margin on that basis, so what's going to happen after 2015?
Michel Landel: Well 2015 isn't the end of everything. We’re certainly not going to stop rationalizing our rationalization efforts, we’re not to be coming to an end there. We will be continuing of course to improve on efficiency. The fact that we’re regrouping a certain number of functions, mean we will get more out of our cost base, but another margin for improvement lies in purchasing. This is a major lever for us, not only is foods but for all the products which we buy across the board for facilities management and for different services which we buy. So there is tremendous scope for better productivity, there is margin for improvement on the facility management. So all these drivers, these levers we can press are there. We’re working on them. There is the effect of our size as a group. That’s the effect of our great experience as well. These are big, big factors which we play on, which means that we’re very confident in our ability to improve margins. At the same time we’re continuing to invest as we said because this is absolutely essential for us in order to build up more expertise.
Unidentified Analyst: Yes you haven't given the detail of the supply costs in the reference document. As you said this is one of the biggest levers for improvement. With deflation particularly on foods, is it not a risk that your negotiations either with the suppliers or with your customers looking at past inflation rates, are your negotiations not going to become more difficult or do you think that there will structurally be, thanks to deflation, more margin for improvement?
Michel Landel: With low inflation, yes, but the low inflation is particularly concentrated in Europe and the next year in terms of on-site growth. I think the figure is going to be flatter, just take note of the fact that the inflation on salaries [Technical Difficulty] will still be with us because of course salaries will go up but in the rest of the world there will be inflation in emerging countries, although this has gone down and the overall trend is downwards but inflation is there that’s true and this is an important point to remember. As for supplies purchasing, we still have a room for improvement in terms of productivity and we’re going to be rationalizing. So I think we've got another lever at present. I think we’re talking about 100 per year.
Operator: We have a question from Richard Carter of Deutsche Bank. Please go ahead.
Richard Carter – Deutsche Bank: A couple of questions, over clarifications please. Firstly on the guidance on financial cost you said 40 million by FY ‘16, 20 million impact this year, is that versus fiscal 2014 or is that versus 2013? Secondly on the 4% to 7% medium term growth, did you say that included an M&A, if it does could you give us an idea of what the underlying organic growth is within that guidance? And thirdly, on benefit and rewards, in terms of your fiscal '15 guidance, is there anything within that guidance in organic growth in terms of what you’re thinking on the Belgium, in renewals of contract and then finally just on margin question on North America. Could you tell us what the (indiscernible) receivables impacted your North American margin in fiscal '14 please?
Siân Herbert-Jones: I said 20 million, it's compared to fiscal 2013, 2014 and the 40 million is compared to 2012, 2013. The second question, the 4% to 7%, it takes into account the M&A that we would be making, and as I said previously, the strategy that we've had so far has led us to 80% of organic growth and 20% of that acquisitions and we are not going to change that course, that ratio and we will be making further acquisitions obviously depending on the opportunities available. Regarding the benefits and rewards for Belgium, we still have this contract until the end of the calendar year. After that we don't know what will happen, but it's still very much in our balance sheet and yes we may remind it's the (indiscernible) that’s voucher for €2.5 billion of face value, of issue volume but this is a very specific contract. It doesn't, it really bring in any turnover. [Technical Difficulty] bad debts and good ones, well manor care and the bad debt is €20 million
Unidentified Analyst: Just three questions please, first is a clarification. Are there any additional costs or other pressures for this year, we have not discussed today because taking the 60 million of additional savings and the 28 million reversal of manor care and the bad debt provision. It already gets pretty well about your 10% EBIT gross target. Secondly, I think you asked a question about returning additional cash to shareholders, so what is the view on buybacks or special dividends going forwards? And then finally OSS organic sales growth, what was weaker than your main peers again in 2014. It seems to be related to the contract win, base rate. Do you think that’s just because these big contracts take longer? Is it just the timing issue or is the pace of growth also a bit lower than the competition? Thank you.
Siân Herbert-Jones: If I understand your first question you said that if we were to take the 60 million of further savings and add that if we were to assume that there is a cost of 20 million in North America, you reach the guidance level. As Michel said earlier on, there is the inflation to be accounted for. So there is a certain number of other elements, and in our P&L, you do have to take that into account in our guidance and our guidance are 10% of growth in revenue this year, but there is no additional costs that you mention it's our best -- the best estimate situation. Regarding your second question on cash return through share buybacks or exceptional dividends, I think I’ve answered that previously. These are means that other companies may use but we don't believe that they are very beneficial in the long term for shareholders. We rather distribute more dividend this year, which demonstrates that our confidence, that the Board's confidence in the future of the group and we would rather keep the remaining cash to latch on any growth opportunity be it internal growth because well we believe that the best long-term yield or return for shareholders in the long term is internal growth, but obviously we’re open to small and mid-scale acquisitions to improve value because small acquisitions are something that we can manage, huge acquisitions are very threatening for the balance of a group like ours, especially in the current environment and there are no such large acquisitions to be made at the moment, so this is why we’re making none. So by increasing the dividend payouts, we’re keen on again showing that we’re confident in the group's future. This is how we will go about this year, in the future it may change, but for now, we believe that this is the best course for our group and for its future. And the last question, could you please repeat your third question sir?
Unidentified Analyst: Yes, OSS organic sales growth of 2.3% was below the compass mark, basically in 2014 and 2013, I'm just wondering whether that relates to -- it looks like it relates to the amount of contract you’re winning, that 7% is a bit lighter than the peers. Is that just timing of these integrated contracts or do you think you’re actually winning fewer contracts than your peers?
Michel Landel: If you want to compare, obviously our peers have a higher growth but it's only true in the U.S., if you take a look at Europe and the rest of the world the gross compass is not better than ours. They fare better than us in the U.S., yes, but this is something that we’re currently studying very closely and they are benchmark for us on this market, even though our strategies differ, but we're obviously very interested in how they're doing. For our market, I think our growth is about equal. If we were to compare the same regions if you will because they are not very European, so for a geographical standpoint, our growth rates are the same and OSS we have the same level. And our market -- they actually had 53 weeks, they had a 53rd week that brought in an additional 2%, so it is true, that in the U.S. we’re lagging behind growth wise. We've explained the manor care, the details of the manor care operation which was failure and for ISS [ph], they released their figures for their third quarter yesterday and they are the same as us.
Operator: Issue volume is delivered by digital solutions for BRS in Europe, how will this progress in fiscal 2015?